Operator: Good day, ladies and gentlemen, and welcome to the Newtek Business Services Corporation Q1 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question and answer session and instructions will follow at that time. [Operator Instructions] I would now like to turn this conference call to Mr. Barry Sloane. You may begin, sir.
Barry Sloane: Thank you operator, and welcome everyone to our first quarter 2015 financial results conference call. This is our first conference call with a full quarter as a new business development corporation. Jenny Eddelson, our Executive Vice President and Chief Accounting Officer, is here with me today and she will be presenting. And for those of you that would like to follow the PowerPoint presentation, you can go to our website, www.thesba.com, go to the Investor Relations section and in presentations you will be able to see a PowerPoint presentation. Jenny, do you want to read the forward looking statement?
Jenny Eddelson: Sure. This presentation contains certain forward-looking statements, words such as believes, expects, plans, anticipates, forecast and future or similar expressions are intended to identify forward-looking statements. All forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially from the plans, intentions and expectations reflected in or suggested by the forward-looking statements. Such risks and uncertainties include among others, intensified competition, operating problems and their impacts on revenues and profit margins, anticipated future business strategies and financial performance, anticipated future number of customers, business prospects, legislative developments, and similar matters. Risk factors, cautionary statements and other conditions, which could cause Newtek’s actual results to differ from management's current expectations, are contained in Newtek’s filings with the Securities and Exchange Commission and available through www.sec.gov.
Barry Sloane: Thank you, Jenny. I’d like to turn everyone’s attention to second page of the presentation, where we will go over our first quarter financial highlights. As I mentioned before, this is our first full quarter reporting as BDC, we’re proud to report that the net asset value equaled to $169.6 million or $16.61 a share, up from $16.31 a share, a 1.9% increase for the quarter, so the straight line is we get close to about 8% total increase in NAV for the entire year. The adjusted net income was $5.2 million or $0.51 a share. We pay our cash dividends, primarily out of the adjusted net income. We want to do that obviously because we want to pay our cash dividend out of earnings. Our adjusted net income includes short-term capital gains from loans sales of the government guaranteed SBA portions, which we have shown historically is a reoccurring event. Our total investment income for the quarter was $4.8 million. We expect Newtek to fund between $240 million and $280 million of 7(a) loans for the year, which will be about 29% increase over 2014. Our loan servicing portfolio through servicing our own loans as well as through third-party servicing, which is known as Small Business Lending Corp, a wholly-owned portfolio company is in excess of $1 billion as of this day. We’re proud and happy to announce that JMP Securities, initiated a research coverage on Newtek Business Service Corp on February 23, Ladenburg Thalmann initiated research coverage on April 22, and Singular has set research coverage and Lisa Springer is our analyst on that. Dividend distributions; on April 13, we paid our first quarterly dividend as BDC, $0.39 in cash, that was $0.01 higher than previously forecasted, and represents about 76.5% of the Q1 adjusted net investment income. So therefore, we – if this continue, we will obviously – would have a cash job. Typically BDC’s have to pay out between 90% to 98% of their adjusted net income and that would be $0.51 number, about $0.47 we paid out $0.39. So if we continue it at this pace there clearly would be a cash job. We’re increasing our 2015 annual cash dividend forecast to be $1.82, that’s $0.05 higher than previously forecasted. And today, we are forecasting a second quarter cash dividend of $0.47 a share, this will ultimately have to be approved by the Board, this is just a forecast at this point in time. That’s a 20% increase over the cash dividend of $0.39, which was paid in Q1 2015. We also plan to declare and pay a special one-time dividend during 2015, this is a distribution of retained earnings from our legacy business as C-corp, which we need to do and must do as we have taken RIC status. That dividend can be paid in the form of a stock or cash and that would be a special dividend, we anticipate that would a qualified dividend. When we did the capital raise that was estimated in June of last year, so we have not refreshed the number, I’ll repeat, we have not refreshed the number. But when that number was estimated about a year ago, and this was forecasting with the retained earnings, it came in about $47 million to $48 million. That number could vary, it could change based upon what tax come out to which we should probably have a better handle on by the end of June. Looking at our consolidated balance sheet, we’re real pleased with how our balance sheet came out at the end of the quarter. You could see we’re not a highly levered company. Our net asset value was $16.61. Total liquidity, as of March 31, 2015 about $26.6 million, that is a GAAP number for BDCs, given our business model, we look at adjusted total liquidity which adds back the amount of government-guaranteed certificates that are funded with cash not on our leverage line of $5.6 million, plus $5.5 million of cash sitting in our portfolio companies to get to $37.7 million on March 31, 2015. As we mentioned on our prior call, when the process of repositioning and restructuring, our lending entities to be able to get more leverage out of our assets. Our capital and bank line has been restructured at this point, it is subject to SBAs approval. That’s a $50 million line, which will be restructured to the holding company only guarantee and obviously be able to distributed dividends as BDC, which we’re required to do. Previously that line was collateralized by effectively all of our other businesses and previous subsidiaries, merchant processing, Managed Tech, insurance agency, payroll, et cetera. There is existing debt of about $8.8 million, we believe we will be able to get additional leverage out of those businesses and we’re working towards that and hopefully we’ll have something positive to report in the next quarter. Looking at Newtek Small Business Finance for those of you that are new to our company and our story, we’re currently the largest non-bank U.S. SBA, U.S. Small Business Administration, non-bank government guaranteed lender. We have one of the rare core teen non-bank lending licenses, these licenses have not been issued, I’m kind of thinking over 20 years. We’re the night largest SBA lender if you include banks. ROI in this business is in excess of 30% and that’s based upon creating loans, selling them and financing them, getting our cash back and redeploying the dollars. We are a national lender, we lend in all 50 states. We have an 11 year history in this business, I think this is important and obviously non-bank lending has become a very hot topic in hot industry. There are many newcomers. Lending in all environments is challenging, but lending in the last couple of years hasn’t been that challenging. Lending over in 11 year period of time, having an 11 year history of loan to full frequency and severity extremely valuable. We are not new to lending business, people have run this business for us, with over 30 years worth of experience that have been through all kinds of markets. We have issued five S&P rated securities, it rated both A and AA, none of them have been downgraded, that are all performing very well. When you look at our portfolio of loans, the average loan size is about $175,000, that’s correct, a $175,000 compared to other BDCs, much, much, much more diverse. This is the uninsured loan participations of SBA government guaranteed loans. I think also important the borrowers in our financings, we believe get the deals. They registrate the 6%, so it’s not some digit, they have long amortization schedules of seven to 25 years, and the loans on our books are floating rates, so obviously they will be sensitive to rises in grades. This has been a market that’s been around for 61 years and we’ve done a good job obviously in our 11 year history in this particular space making loans the small businesses and having success in generating profits for the company. Looking at our actual and forecasted loan fundings; first quarter 2015, $48.3 million that frankly was an underperformance. We expect it to do more than that. For the rest of the year, we’re forecasting $60 million in Q2, $70 million in Q3, $80 million in Q4 to maintain our overall mid-point range of $260 million and wide range of $240 million to $280 million of SBA 7(a) loans. We’re doing a significant pipeline, which you could take a look at on Slide 8. At the end of the quarter on $31 million [ph], pre-qualified $40 million loans, underwriting $40 million approved by the closing $29 million, quite a few open referrals. To accommodate the initial capital that will be raised, we position ourselves for great loan originations and fundings, we have repositioned our lending business, we’re doing all of our closing in house at this point in time. We have a new head of underwriting, people are newly positioned to run our closing department and we’re very happy with the progress that we’ve made and we think we’re going to pick up steam in terms of pulling these loans through the pipeline between now and the end of the year. I’d be frank with you, really which we would be a little further along in this process, but importantly we are meeting our expectations in terms of revenue and credit quality to the marketplace and to our own financial, so we’re very satisfied with the performance in that particular area. Slide 9, is the slide to those who had been with our company, quite familiar with. As well as Slide 10, that’s our classic SBA 7(a) loan transaction slide, one on Slide 9 talks about the cash created on $1 million worth of loans; Slide 10, talks about the revenue that’s created. So from a cash creation standpoint we make a 7(a) loan, we’ll sell off the government guaranteed pieced at 12.5 point premium that’s 75% of the loan. So on $1 million example, $750,000 government guaranteed participation certificated receives a premium of $93,000. We are left with an uninsured, but not subordinated, extremely important that is not a subordinated participation certificate that sits on our books, so participation certificates are put into a trust and bonds are sold off of them. Those are all floating rate. Those participation certificates stay on our books, there are small balances as we talked about $175,000 average balance, they’re very diverse, diverse states, diverse geographies and when we securitize them at a 70% advance rate, which we’ve done recently, we create cash approximately $21,000 above the $1 million of face. So the reason why we’re able to generate high returns on equity in excess of 30% is because we put these loans out and securitize the uninsured pieced, we get our cash back. On Slide 10, I think it’s important to note that when we create the 7(a) loan and we sell the government guaranteed piece, we also write the uninsured participation down by approximately 5 points at origination. So we take a 5 point loss, which is unrealized and reduces our NAV every time we make a loan. Why do we do that? We think it’s appropriate. We think that these loans should not be on our books of par, we think these loans should be on our books at 95, as we run through our discounted analysis we think – expected the fall frequency at severity statistics that we have been in this business for over 11 years and have visibility, have good handle on. These loans will yield 5.35% based on our discounted cash flow analysis and that’s risk adjusted. So assuming the fall 25%, severity up 30%, prepayments approximately 8 CPP that would follow yields 5.35%, which is approximately 435 basis points, typically above – over a banks’ cost of funds risk adjusted. We feel very comfortable with how these loans are on our books today. Slide 11, talks about, and Jenny will go into this a little deeper in her presentation, net realized and unrealized gains. We reported on December 2014, we had approximately $28 million of guaranteed loans and we have approximately $3.4 million of unrealized gains in the sales of those loans that we carried into the first quarter. During Q1 2015, $24.4 million of those loans were sold, it generated $3.4 million of realized gains and we also retained $13 million of guaranteed loans, which generated a $1.7 million unrealized gain at the end of the quarter. So, essentially we still have carryover on government guaranteed pieces going into second, third, and fourth quarters. In Q1 2015, we had recognized total realized gains of $7.7 million, this is a reoccurring event, we have five years worth of history on this, and these are the dollars and numbers that actually go into our adjusted NII. And for the three months ended March 31, 2015, the sales of government guaranteed loans came in 112.44% net to the company. If you go to Slide 12, you would see how the prices compared with the first quarter of 2015 with last year. Last year we averaged 112.49, first quarter 112.44. As you could see there is difference between short term loans, which have 10-year maturities and long-term loans, which have 25 year maturities. Our P&L is sensitive to the creation of short-term loans versus long-term loans. Short term SBA government guaranteed 7(a) loans have no prepaid penalties, so they typically trade at lower dollar prices on the government guaranteed fees. The 25 year loans or longer term amortized loans, which could be 15 years on have 531 prepaid penalties in the first three years, which is why they trade at higher dollar prices. These trade to investors in the secondary market at approximately LIBOR plus 65 to LIBOR plus 70. So the mix of 10 years to 25 years and the volumes will determine a lot of these prices as well as the size of the loans as well. Looking at the quality of our portfolio on Slide 13, you can see that we continue to hold up with very few concentrations. Restaurant concentration still low as our biggest concentration under 10% and the Florida concentration went from 21.6%, down to 10%. Also average loan balance $175,000, that gives us good diversification. On Slide 14, we talked about our history in this business, being in the business for 11 years having small balances and lot of diversification in the portfolio. We talked about our discount on the performing loans currently at 5 point discount. We wanted to make sure market participants can take a look at the quality of the portfolio. In Q1 of 2015, we had a realized loss of $47,000 against our total loan portfolio, that was actually a liquidation. And the Q1 of unrealized losses on this portfolio about $3.8 million, so what does that mean? Seasonal loans that have been mark-to-market, these are non-performers. They are on our books at $3.8 million and as these are liquidated over the course of the next two years these losses will be realized over time. One of our important portfolio companies that we are optimistic about from a standpoint of growth is Newtek Business Credit, the legal CDS. We announced recently that Gary Taylor has been appointed President and Chief Operating Officer, Harold Gartner who previously was president has moved into a sales, marketing and business development capacity at the holding company and we look forward to helping us grow our business, particularly in the production of these types of assets. Company recently signed a letter of intent for a $50 million warehouse line of credit, which is an increase of $15 million from the prior warehouse facility. In addition to the bigger size, the facility will now be – it will be used not only against accounts receivable, but also against inventory and healthcare receivables and SBA 504 loans. So we are clearly broadening our opportunity to do different types of loans in this particular portfolio company. Spending a little bit more time on SBA 504 loans and this is becoming a new and more important focus for Newtek with the leveraging line. I want to describe what a 504 loan is, I think it’s important that when you look at us a BDC and you look at us as an investment vehicle, it’s important to note we’re not coupon clippers. Most of our competitors in this space have debt or loans, they lever them and they’re clipping the coupon in the R, interest income versus interest expense. In 504 loans these are loans that are made to owner occupied businesses, lending to the business and primarily the primary use of the purchase commercial real estate. The business owner can actually get a 90% loan to value, which is 50% conventional first, which is what we wind up keeping, and a 40|% second, which is funded by an entity known as the CDC, Community Development Corporation. That loan gets taken out approximately 90 days by the SBA through government debentures, and we’re left with the 50% first. So the benefit of the SBA 504 loans to the borrower, the owner occupied business who is using it to refinance or buy commercial real estate 90% LTV, also gives us a fixed rate alternative because we can offer a fixed rate with pre-payment penalties on these loans. We are then able to sell off the conventional loan to third party investors, it’s a fairly liquid market, not quite as liquid as the government guaranteed participation on the SBA loans, but a 50% LTV conventional first very liquid market we anticipate 3 to 5 point premiums. So we’re happy because we will be able to make loans and then get the entire loan off their books, keep a servicing stream with income and get gain on sale treatment and repatriate our capital. On Slide 17; it’s a typical example of an SBA 504 loan with $1 million purchase of a property, the borrower – owner has to put a $100,000 as an equity injection, there is a $400,000 bridge loan. We funded, it’s taken out by the SBA with government debentures and a first mortgage loan is originated by us. On Slide 18, which will show the key variables in this 504 loan sale transaction, you could see also a very high rate of return opportunity. So in a case where you’ve got a $2 million project financing we will have $1 million first loan, there is an $800,000 junior bridge loan taken out by the SBA debentures and for a quarter, the borrower puts up $200,000 to purchase the real estate using $1.8 million of total debt. The premium, approximately 3.2% and when you look at the income Newtek had a 90% advance rate on the 504 loan on the conventional first and second, has to put up $180,000. The premium gain, $32,000, the net interest earning as we clip the coupon before the sale $44,000 against interest expense of $20,000, we’re able to charge the bar origination fees of $14,000, we pick up servicing income, the net cash created during this holding period which should be six months, but in this example we assume that it was a year, $72,000 – take the $72,000 divided by the equity at 40% return, assuming it was a one year hold. We hope these transactions will be a six month hold generating a higher rates of return and importantly the repatriated cash and put it out to the borrowers and we’re obviously sitting with a loan during that period of time. At 50% of LTV, not a lot of credit risk, higher rate of return business. We could use our adjusting distribution channels and we now are no longer $50,000 to $5 million, we’re now $50,000 to $10 million. Newtek is always gaining a wise partners, we recently signed a new partner program, it’s generating 30 to 50 referrals a day, that’s approximately double what we’ve been getting in the lending business. And so far we’ve [indiscernible] is similar to what it got from existing referral agents. We also entered into agreement, which we announced yesterday, with the lending club and we will be agenting opportunities over to the lending club. This is an important partnership for us, it’s going to enable us to further expand a suite of lending products, particularly being able to do business with the lending club as an agent and we do believe that this is going to open up the box to do short-term non-collateralized loans to third-parties. We’re excited about our opportunity to work with the lending club. We’ve done a lot of hiring in the last quarter, we talked about Gary Taylor, coming in as President and COO of Newtek Business Credit; Gary was an MD and COO at CIT Small Business Lending where he managed the underwriting and processing and servicing business. He was also SVP and Chief Credit Officer at Lehman Brothers Bank. Similar functions, 10 years of Moody’s; we’re real excited about Gary coming in and working closely with Harold Gartner to help grow us business there. In Managed Tech Solutions, we’re thrilled that we require John Raven to work with Richard Rebetti his Chief Operating Officer, Managed Tech Solutions. John recently joined us from look smart and clickable, newest Chief Technology Officer and Chief Operating Officer. Prior to that he was Chief Technology Officer and Chief Operating Officer consultant for IBM Global Services and prior to that he was President, CEO and COO for YP.com & LiveDeal. John is housed out in our Phoenix, Arizona office and John has spent 12 active years and 10 reserve years with the U.S. Army and worked for the NASA Jet Propulsion Laboratory for three years. He says a lot of thing I don’t quite understand, but I’m catching up and learning quickly. We’re also happy to announce the addition of Mike Campbell as Chief Credit and Chief Risk Officer for our payment processing business. Over 20 years of experience in the merchant bankcard operations with expertise in credit and risk management. Mike spent five years as Head of Credit for US eCommece and US RBS Worldpay, over 10 years [indiscernible] as Vice President of National and Credit partner risk. He’s also head of a credit for Chase Merchant Services. We’re thrilled to have Mike join us. We also added Dean Choksi, as Treasurer and SVP of Newtek Business Services Corp. Newtek works very closely with Jenny, myself, Matthew Ash and Michael Schwartz, our Chief Lending Officer. Dean has been a tremendous addition to our staff, background and training as an equity analyst at UBS and Lehmann Brothers, particularly in the area of BDC’s asset modeling. He’s been a fabulous help us in this particular quarter and we expect him to pay a very significant role. And he’s Treasury and SVP of Finance function going forward. Looking at our portfolio companies we had good performance, we feel very good about our performance of Payment, Managed Tech, Newtek Business Credit, Payment Payroll and NIA. We feel good about our forecast. We had a good quarter for EPT for those of you that are new to our call, our payment processing business is 15,000 customers, we anticipate $5 billion of payment processing between now and the end of the year. Our growth story here is in mobile and POS. We do seek to acquire payment processing companies going forward and we’re excited about the opportunities that present itself in mobile and AMEX Blue. We’re sticking with our 2015 forecast of $100 million a revenue and $9.8 million of EBITDA. Our Q1 adjusted EBITDA of $1.9 million was 5.6% increase, revs increased 7.9%. We had a ton of one-time expenses in the first quarter, particularly related to legal issues and one-time charge off expenses, we expect that to dissipate. We have this business valued on our books at 4.75 times EBITDA and $48 million. Noted the public comparisons to the right Heartland Payments and Vantiv at 9 and 10 times respectively. Managed Tech Solutions, the business we have owned and managed for over 10 years. We are in the Managed Tech Solutions space, cloud computing space. We are excited about the opportunity in this market, this company over the last two years has been an underperformer. It’s fair to say that the first quarter was an underperformance, but we have some good news to report on it. We’re implanting some cost reduction measures and new production introductions as part of our repositioning strategy and the recent appoint of John Raven as COO I believe is significantly help this company. We go to Slide 27, we looked at a revenue decline of 12.2% for the quarter and adjusted EBITDA decline of 41%. This is an ugly performance. We are sticking with our revenue forecast of $17.5 million with our adjusted EBITDA of $5.1 million, many of you might say I am extremely overly optimistic, I could understand that, but I’m going to give you some rationale for that optimism. From a valuation standpoint, we’re still valuing 3 and 3.75 times EBITDA, $21 million valuation. I will tell you that some of our competitors are valued at 3, 4, and 5 times revenue. This business, this year on a run rate we think that $17.5 million we are comfortable, very comfortable with the valuations here. Relative to subsequent events on Slide 28, we recently restructured our IO data center lease, we will putting out a press release shortly. This is going to allow us to realize cost savings over the next five years. These cost savings will result between $200,000 and $250,000 of annual cost savings based on real estate and power. Those are cost savings net of additional space that we acquired with IO. In London, New Jersey and Phoenix, which are fully costed, net of the above cost savings and this additional space will enable us to layer on more revenue opportunities. We have recently signed two transactions totaling $320,000 in net new annualized reoccurring revenue for term. $250,000 of this is got a 39 month term line. We are very, very excited about this business, we think it’s the business to be in. from a competitive standpoint, our competitors do not offer solutions to business owners that are managed 24/7. Slide 29, looking at other portfolio of companies; Newtek Business Credit we have value of $2 billion, that’s our 504 and line of credit business. The Newtek Insurance Agency, valued about 1 times revenue. This business probably will make about $900,000 this year bottom line and do about $2.5 million to $2.8 million of revenues. Newtek Payroll Solutions valued at about $900,000, 1 times revenue. This business by the end of the year should be on a run rate to breakeven. Small Business Lending, which is the third-party servicing, we just put on a new portfolio that we announced from Bank of Popular. This business probably will generate $4 million of EBITDA on a 12 month basis. We had about $8 million, 2 times EBITDA multiple. For those of you that are BDC investors, you are all aware we are internally managed BDC. For those of you that are not familiar with these terms and we have investors that are on both sides of the spectrum, some of that BDC investors, others that are looking at us as an investment opportunity. Internally managed BDCs pay no base fees or incentive fees to an external manager, there is no percentage of the ops like in a hedge fund like on externally managed BDCs typically. All other expenses are loaded into the return, so the dividends you receive are net of total expenses. We typically trade our premium to NAV. When we go to Slide 31, we are currently trading at about 1.04 times now. Our competitors Hercules, KCAP, Main Street and Triangle about 1.3 times now. Looking at our competitors in the on deck lending space; on deck capital lending club pretty extensive valuations, BankUnited recently acquired an SBA lending unit they paid a $20 million premium to tangible. On Slide 33, as a recap. 1.9% increase now for the quarter, a 47% forecasted dividend for Q2 2015, up 20% from prior. We paid very modest leverage when you look at our leverage ratios, we’re nowhere near 1 to 1, we’re about 75% to 76% levered. Our portfolio companies are primarily wholly-owned and managed. We’ve owned them for over 10 years. We are internally managed BDC, managed with interest very much in line with shareholders. Between myself we got founders in the Board, we own about 20% of the outstanding stock. To get the yields that you’re seeing there is no derivative securities in the BDC. There is no second [indiscernible] like other BDCs and there is no direct lending exposure from oil and gas industry. They’re getting great returns, business services operating businesses generate those types of returns and we’re on a lending business that makes loans and get this money back to put us – on this balance sheet, which is very different than our coupon clipping arbitrage base competitors in this space. I’d like to turn the finance review over to Jenny Eddelson.
Jenny Eddelson: Thank you, Barry. Good afternoon everyone and thank you for joining the call. I’d like to start with some highlights from our first quarter 2015 consolidated statement of operations. As Barry mentioned earlier, this is our first full quarter reporting as BDC, so there is no comparable prior period consolidated BDC financial statements to refer to. Please turn to Slide 35, we had investment income of $4.8 million, which included approximately $2.2 million of interest income, substantially all interest income for the three months ended March 31, 2015 and 2014, was derived from our SBA loan portfolio, which generated $2.1 million and $1.5 million of interest income respectively. The increase in interest income can be attributed to the average outstanding performing loan portfolio increasing from $94.2 million to $125 million quarter-over-quarter as a result of new loan originations over the 12 month period. Servicing fee income, which we earn on the guaranteed portions of loans that have been sold in the secondary market increased $211,000 for the three months ended March 31, 2015 compared to the same period in 2014. The increase was attributable to the growth and the size of the total SBA loan portfolio for which we earn servicing income. Dividend income was approximately $1.1 million for the three months ended March 31, 2015 and represents dividend declared from our controlled portfolio companies. Our expenses for the quarter totaled approximately $7.2 million and includes salaries, interest expense and other SG&A such as rent, marketing and referral fees. As an internally managed BDC, we do not pay any incentive or base fees to an external manager. Our net realized and unrealized gains for the period totaled $12.5 million of net gains, the components consisted of $7.7 million in realized gains, which were generated from the sale of the governing guarantee loan participation, $1.7 million in net unrealized losses from the net valuation change in our loans held for sale, which I will discuss in more detail when I review Slide 36. We also had $666,000 of unrealized depreciation on our unguaranteed SBA 7(a) portfolio, which represents that valuation adjustment we immediately recorded on loans originated during the quarter as a result of running them through our discounted cash flow model. The $7.5 million appreciation on affiliate investments was a result of an increase in the valuation of our electronic payment processing portfolio company and an increase in the valuation of Small Business Lending Inc., which obtained a significant third-party servicing contract during the first quarter. And finally, we have $356,000 in depreciation on servicing asset, which effectively represents amortization on the product. Overall, our net increase in net assets from operations was $10 million and our net increase in net assets per share was $0.98. Please turn now to Slide 36, which is an analysis of changes in NAV and NAV per share for the quarter. We started the year off with NAV of $16.31 per share and had a net investment loss of $0.24 and realized gains of $0.75. Both of which are included in our adjusted net investment income calculation giving us adjusted NII per share of a positive $0.51. Our NAV decreased by $0.34 from the reversal of the unrealized gain on loans that were held for sale at December, 31 and mark-to-market. The majority of those loans were sold in the first quarter and resulted in realized gains which are reflected in the $7.7 million realized gain [indiscernible]. The $1.7 million of unrealized gains recorded for the quarter represents a loans that were held for sale at the end of Q1. This amount will ultimately be realized once those loans are sold and the unrealized gain will be reversed simultaneously. We have a $0.73 increase in NAV per share as a result of the unrealized depreciation on our affiliate investments and $0.10 decrease in NAV generated by the unrealized losses for the quarter on our SBA performing loan portfolio and servicing asset. Overall, the above accounted for 6% or $0.98 increase in NAV before the dividend and deferred tax asset adjustment. Our NAV decreased by $0.39 due to the dividend declared for the quarter and also declined by $0.28 for the adjustment to the deferred tax asset, which was adjusted through opening equity as a result of the company’s convergence to RIC in 2015. Overall, our NAV per share increased by $0.30 or 1.9% for the quarter. With that, I’d like to turn the call back to Barry.
Barry Sloane: Thank you, Janny. Operator we’ll take questions now.
Operator: [Operator Instructions] Our first question comes from Chris York with JMP Securities.
Chris York: Good morning guys, or good afternoon and thanks for taking my questions. I’ll lead by congratulating you on the progress you've made in your hiring initiatives and in the recent partnership with lending club, and then now the new expansion in the 504 loans. So on the new aligned partnership, could you help me understand how you guys think about that opportunity for the small business loan product on Newtek platform, and then maybe the volume levels that you think are realistic in 2016?
Barry Sloane: I think that in looking at Newtek we believe we are unique in the lending business in that if you look at on deck they’re primarily very focused on smaller merchants, short term amortization, tying it to a merchant processing account. Some of our other competitors are very much wedded to hire coupon loans, and some which is not bankable. We want to be positioned as a company that when a business comes to us, we want to be able to fill them. So from my perspective, for the most part, we are a principal player. We are a principal player in a line of credit if it’s backed by an account receivable, a healthcare receivable, which is great for doctors, dentist, lawyers and all medical practitioners or inventory. We are a term financer in the 7(a) program, in the 504 program now and eventually down the road we will have a conventional term product as well. So we want to be able to satisfy customers of all sizes. We are not typically an unsecured fund, when I say typically we just don’t do it, this is not what we do. I should add that our $130 million Jenny of participations. $130 million are senior secured participation certificate, so from a quality standpoint – there is senior secured participation certificates. So looking at us in the marketplace, I want to be able to look at opportunities where they may want to lend secured and they would be willing to pay a double digit rate or rate in 27% and lay it off to a third-party. So where we looked at in 2014 $5 billion worth of fundings -- $5 billion worth of referrals and basically funded $200 million of 7(a) loans we probably funded 12, tech 12 million of monthly purchases in the line of credit business. Now we are planning on growing our staff, looking a more opportunities and closing more opportunities with borrowers if that’s a good explanation. We want to widened the funnel and widen our close rates and we want to be able to be very consultative to borrowers that our independent business need to get funded. Unlike walking into a bank and your business owner, you got one specialist this credit cards and once that’s done they may do a conventional loan, it’s really hard to find a participant that can help you. Our business service specialists, we currently have 10 of them and that will be growing, really a very consultative and their goal is to take in the information and to give the customer with the best available solution, whether it’s on our books of the principle or we give it to a third-party as an agent because that’s what they want, it’s not something that we’re interested in.
Chris York : That’s great, that color is helpful. And then talking a little bit about competition in the 7(a) business, last quarter you talked that some banks started incrementally pick up volume a little bit. Did you see that throughout the quarter and then can you talk a little bit maybe about competition thus far in the quarter-to-date.
Barry Sloane: I mean, I don’t think that that’s intensified, I think that status quo and I don’t think it should impede what we’re doing. I think that our biggest impediment is improving our process, getting more familiar with each, we’ve changed the process, we’ve a lot of new people in the organization, and I think that we’re working hard at our ops and our process flow is going to improve our ability to fund more. I do not have any concerns over the competitive nature. Putting that aside in our current volumes, you heard of somebody comes in and you lose $10 million or $15 million worth of loans or opportunities in the quarter, the answer is yes. But from a long-term perspective, which is always how we’ve run the business, I don’t have any concern that we’re not going to be able to be $260 million fund this year and grow 15%, 20%, 25%. We want to grow in a controlled normalized fair fashion. We’ve done this for 11 years, we want to do it for another 11 years. My view only the gist of that for somebody in the finance business is to grow exponentially.
Chris York : Sure, helpful. Switching gears, just a little bit maybe on the expense side, you talked about building out the platform making new hires and I think many of investors are going to appreciate you being internally managed. So I know your lease expires in October, so have you any thoughts about maybe moving or renewing that lease?
Barry Sloane : Chris, you’ve never been to our headquarters in New York City, maybe some of the people on the call. We actually did re-roll that loan over, New York City space at which we only have about 30 people, most of our staff is in much lower cost locations. So we’re a $30 a square foot, I think for year and a half and then it bumps to like $43 year after. It’s not very expensive. Putting aside, one thing that’s important, all the new hires that we have and we opened up in Boca, we also opened up a small office in Dallas, all those numbers are placed into our projections. So everything you’ve seen, I had a couple of people said that you got lot of people. The expense projections, they’re all pretty well baked in. And we are going to need additional space in a variety of different locations to handle our growth.
Chris York : And then lastly. So being a BDC and distributing essentially all your income out to shareholders, have you guys thought about putting in place a dividend reinvestment program?
Barry Sloane : We do have a program, it is available to shareholders for the second quarter, and I have to check, but our shareholders should have been noticed or should be getting notices. Probably the next time we declare the dividend, when the board declares a dividend I think a notice probably will go out. There will be a drift plan in place.
Chris York: Okay. Thanks Barry.
Barry Sloane: Thank you.
Operator: Next question comes from Stanley Grossman, who is a private investor. [Author ID1: at Fri May 8 06:29:00 2015 ]
Q - Stanley Grossman[Author ID1: at Fri May 8 06:29:00 2015: ]
[Author ID1: at Fri May 8 06:29:00 2015: ] Hi, thank you for taking my call. I wanted to know if you had any estimates, $40 million that you had reserve for the special dividend, how much per share would that be?
Barry Sloane : Appreciated, Stanley. My Chief Accounting Officer is frowning at me. That’s the number that we have put out in our offering document. We get asked that number quite frequently. There are lot of interest in the special for obvious reasons. As I said earlier on in the call, we have not updated that number, it’s going to be based upon our tax return and in terms of estimating it per share, it would require knowing what the shares outstanding are at the time. The only I could point you to is the offering document that was circulated in November, and there was information on that. You get back at some of your numbers baked upon the estimate of last June and you look at $10.2 million share you could probably come up with your own number, but – and that will be in cash and stock and we talked about that as well.
Stanley Grossman : Thank you very much.
Barry Sloane : Thank you.
Operator: Our next question comes from [indiscernible] with UBS.
Unidentified Analyst: Hey Barry, congratulations on your first quarter as a BDC.
Barry Sloane : Thanks Mike.
Unidentified Analyst: Question for you, so you were talking about your One of 14 Non-Bank SBA Government-Guaranteed Lender Licenses, a license that’s no longer issued. I was kind of curious, so with the non-bank space growing so much without them, what kind of status does it have, is that a mark that kind of differentiates you, is that something that just sort of flags you, it sound it’s been around a while, what kind of value does that definitely if I’m a lender and I’m looking at Newtek Business or a small business loan?
Barry Sloane : I think one way to look at it is number one, people just can’t come into the space from a competitive perspective. We believe that our 11 years worth of history in relationship and performance are valuable and important. Mind you, if we have one of these licenses you are in a shared risk relationship with the government. So the government – I mean you can have a lot of capital and they wouldn’t necessarily give you a license or chance for the license to you just because you have a lot of capital. They want to make sure that you’ve got the expertise and the experience particularly in this area the policy and procedure manual for the SBAs and I think it’s in excess of 1,000 pages. So it really requires a specialized assembly, specialized underwriter, specialized servicing staff. A lot of the banks that do this business don’t wind up doing it well because they wind up using people that are familiar with conventional assembly underwriting and servicing and it doesn’t work out well because they wind up in violation. So I think it should be viewed by the marketplace as not only a valuable asset, but one that we’re operating well and generates high rates of returns that I don’t think easily get arbitraged to weigh it by competition.
Unidentified Analyst: And do you know if most of your competitors like some of the comparable companies you mentioned like on deck and lending club, do they have these, are they operating without them or…
Barry Sloane: They don’t have, they don’t do what we do.
Unidentified Analyst: Okay. Alright Barry thank you.
Operator: [Operator Instructions] Our next question comes from Adam Morton with RBC Capital Markets.
Adam Morton: How are you? Great, quarter, congrats. [indiscernible] storm from one of the previous questions about the lending club. So I totally get the agent relationship and I think that’s a great way to make sure you guys are sort of all things to everyone coming in. My question really though is, is that arrangement have the ability for some reciprocity from the lending club to come back into you guys and sort of cross pollinate referrals into your core businesses?
Barry Sloane : The answer is yes, that is the anticipation. We expect to have an agreement in place between us, where they can cross refer opportunities back into our business. The lending club is little misunderstood by some, it’s really a marketplace that brings funders and borrowers together. We should be viewed as a funder. So we do envision that we will be working with the lending club and they will be referring borrowers to us for our loans. So the answer is yes. We think – and we think that could be extremely helpful. Given the way that we want to do, enter into this relationship with obviously that is a very busy company and we appreciate their partnership with us. And we put a lot of work into this relationship. This was done over a long period of time.
Adam Morton: Okay. And then lastly, other bank opportunities out there where you might see relationships with banks, I know you had some affiliates I believe locally that referring agents, are there more opportunities like that as you guys continue to grow here?
Barry Sloane : Very much the office that we just opened up in Boca on May 1 has 21 seats, we have seven people filled in it. We are going to need to, we do expect to significantly grow our referral count and we’re going to need to have people that can process on a consultative basis, the opportunity with, better business owners that want to borrow and we need to be able to suite them with the best program and product before them. So we have quite a few others in the pipeline and we’re working existing relationships. The UBSs, the Morgan Stanley’s, and we’re looking for a lot of others help grow the overall opportunity.
Adam Morton: Fantastic. Thanks on a great quarter guys.
Operator: And I’m not showing any further questions at this time, I’d like to turn the conference back over to our host.
Barry Sloane : Okay. Everyone, thank you very much for your participation. We were very happy with our first quarter results and looking forward to reporting great results in the second quarter as well. Thank you so much.
Operator: Ladies and gentlemen, so that concludes today’s presentation. You may now disconnect and have a wonderful day.